Operator: Welcome to the Getinge Q3 Report 2023. For the first part of the conference call, the participants will be in listen-only mode. [Operator Instructions] Now I will hand the conference over to the speakers CEO, Mattias Perjos and CFO, Lars Sandstrom. Please go ahead.
Mattias Perjos: Thank you very much and welcome to today's conference. This is Mattias Perjos, CEO of Getinge, and with me, I have CFO, Lars Sandstrom, who will present the financials in a moment. We can move directly over to page number two, please. So let's start by looking at the key takeaways for the third quarter of 2023. Getinge sales rose organically by 5.7% in the quarter. The order intake declined organically by a total of 1.9% in the quarter, which was exclusively linked to Acute Care Therapies where we still have a large order book that we're working through. In the quarter, we worked intensively to address the challenges that we have in Cardiac Assist and Cardiopulmonary and improvements have been made, enabling us to gradually increase delivery volumes, mainly for consumables in Cardiac Assist. However, the challenges are continued to have a negative impact on our order intake, on our delivery capacity, and also on our costs. The margins improved versus last quarter to a large extent due to higher deliveries of consumables, mainly in Cardiac Assist. It's also worth mentioning that we completed two important acquisitions just after the end of the quarter and we continue to have a stable free cash flow and a solid financial position with a healthy, safety margin when it comes to leverage, which is also the case when we include the acquisitions into the equation and we will talk about that a bit later in the presentation. We can then move over to page number three, please. So if we start by looking at some of the key activities and events in the quarter and we'll begin with sustainability and quality. Carbon dioxide emissions, our energy consumption, and the share of renewable energy continue to develop in a positive direction for Getinge. Science-based targets initiative also validated Getinge's near and long-term targets of reaching net zero greenhouse gas emissions across the value chain. So it's a good evidence that we're on the right track with this that we have ambitious, but reachable targets. There's also been a change in the executive team where Jeanette Heden Carlsson decided to step down from her role as Executive Vice President, Brand and Communication. Jeanette has done a really good job during her six years with Getinge, and under her leadership, Getinge's brand recognition has increased on our key markets. I've appreciated her as a colleague as well, and I wish her all the best in her next career step. The process to recruit her successor has been kicked off and is ongoing. When it comes to our offering to customers, I'm happy to note that FDA granted clearance for a new ventilator in the US market that expends our leading offering there. Getinge Life Science launched AppliFlex ST GMP, a customizable single-use bioreactor that enables customers to move from research to full-scale production within the same phased system. It is designed to meet all requirements for clinical cell and gene therapy as well as mRNA applications. So this is a very important step for our customers. And as I mentioned initially, we completed two important acquisitions just after the quarter end, Healthmark and High Purity New England, complementing our Infection Control business and our offering towards customers in the biopharma segment in an almost perfect way with minimal overlap and extensive growth opportunities. Okay. We can then move over to page number four, and take a closer look at the most recent acquisition, which is Healthmark. So I'd like to spend some time on this one just as we did with High Purity New England in the previous quarter. We are truly happy about this acquisition and there are many reasons for this. First and foremost, the Healthmark has built a strong brand in sterile reprocessing in the US since late '60s with a true customer-centric approach in everything that they do. Through this acquisition, we broaden our consumables portfolio significantly, for example, within cleaning, verification, and packaging where we have minimal overlap with our current offering. This acquisition also means that we strengthen our US presence, both when it comes to our customer base and also our infrastructure in the US. This will help us augment the attachment rate to our existing and appreciate the capital equipment. And in addition, we will leverage our global reach to drive Healthmark's international expansion. I'm also happy to declare that we will retain key management with vast experience from building the Healthmark success story. Healthmark will make a noticeable impact in Surgical Workflows also from a financial perspective. Net sales for the financial year ending last of October is expected to be around $126 million and growth in the end market is expected to be at a healthy mid to high single-digit level. The business operates at a mid-teen EBITDA margin and from a group perspective, we expect a positive contribution on EPS adjusted for PPA in 2025 and on reported EPS from 2026. We can then move over to page number five and the status when it comes to improvement efforts on Cardiac Assist and on Cardiopulmonary. Let's start with the slide four Cardiopulmonary that we introduced last quarter. I won't go through all the data here rather focus on the changes since last quarter. On Quadrox, there are no big new events here besides making progress according to plan and the same goes for HLS/PLS with one important difference that by the end of September, we received an extended exception that permits deliveries according to the European Union MDR Article 59 until September 30th, 2024. This gives us a good margin now to have an approved packaging solution in place before then. We can then move over to page number six, please. So focusing then on Cardiac Assist, again, I won't spend time on basic facts about the business here either. I'd rather cut straight to the core of the business that we deal with. When it comes to the balloons, we had an issue with the third-party component in the insertion kit. Early Q3, we identified the root cause of this. We received corrected components and resumed global deliveries, taking us to a growth year-on-year. So this particular issue is now underway. On the pumps, we received good news in the quarter that the CE certificate was reinstated. We have continued with the ongoing field corrections expected to be resolved in full during 2024, followed by regulatory approval, so a slight phasing due to additional testing and design verification, among other things. Most important here now is that we can sell and deliver the pumps globally as of today as we had the CE Mark reinstated. However, we stay with the message from last quarter that we expect to ramp up delivery volumes gradually during the second half of 2023, so basically the final quarter now and we expect less constraints during next year. As we all know, these challenges have the highest possible priority in Getinge at the moment, why it's good to see some positive traction in results and we will continue to report on progress on this in the coming quarter. We can then move over to page number seven, please. Looking then at the top line evolution, as I mentioned earlier, order intake declined by 1.9%, and net sales increased by 5.7% organically in the quarter. The lower organic order intake for the quarter was exclusively attributable to Acute Care Therapies with mainly Cardiac Assist contributing to the downturn. The effects from this is something that we can see in all geographic regions. On the other hand, we had a positive development in all regions in net sales in Acute Care Therapies due to a large extent, thanks to delivering on the backlog in Cardiac Assist consumables, so the balloons themselves. The Surgical Workflows also had a strong quarter with growth in all regions. That's also worth mentioning. We can then move over to page number eight, please. So if we summarize this into an outlook, it takes us to a situation where we expect organic net sales growth to be 2% to 5% for 2023. And so it's basically repeat, no change in the overall outlook compared to what we said earlier I think. We can then move over to page number nine, please. So we had a weaker order intake in Acute Care Therapies, as I mentioned, in the quarter. It was down 7.6% organically. The lower order intake for the quarter was mainly related to Cardiac Assist, as I mentioned. This was largely the results of customers waiting for deliveries of previously booked balloon pumps before they place new orders. This pattern was seen in the order intake for all regions. If you look at the order book for the business area as a whole, it was just over 10% higher than last year. Life Science then, we had 8.5% organic growth, so and Life Science increased its order intake in all key categories except for Sterile Transfer where the customers still have sufficient numbers of DPTE-BetaBags in stock. The trend in the US was overall strong while the order intake in China was weak in the quarter. The order intake increased in all product categories in Americas. Looking at Surgical Workflows then, we had a 3.6% organic order increase and the order intake for Surgical Workflows increased organically in both infection control and also in Surgical Workplaces. The order intake remained positive in the strategically important US market. Growth was also healthy in Germany and Japan, while the order intake in Latin America declined for Surgical Workflows. We can then move over to page 10, please. Looking then at the sales perspective, in Acute Care Therapies, we had a 6% organic increase in sales, and this was thanks to large deliveries of consumables in Cardiac Assist, which contributed to the sharp growth. Growth was also healthy in ventilators and in cardiac surgery products in the quarter. Life Science was flat in the quarter, completely unchanged with large deliveries in steam sterilizers. Sales of Sterile Transfer products for customers in the biopharma segment though continued to decline in the quarter. The performance in China during the quarter was especially weak while sales to European customers increased for Life Science. In Surgical Workflows, we had a 7.4% organic increase, and this was in all product categories and all regions. The performance in Southeast Asia and also Japan was particularly strong while sales in China fell for Surgical Workflows. Currency had a SEK271 million or a 3.9% positive impact on net sales for the group in the quarter. Looking at recurring revenues, this grew by 6.9% in the quarter, positively impacted by strong deliveries in intra-aortic balloons. We can then move over to page 11, please. So one step down the P&L, our adjusted gross profit increased by SEK298 million to SEK3,890 million in the quarter where a positive FX effect accounted for SEK114 million. For the group as a whole, the adjusted gross margin declined by 0.7 percentage points due to unfavorable mix effects, lower absorption, cost inflation and currency. These effects were partly offset by price increases. For Acute Care Therapies, the adjusted gross margin declined by 0.6 percentage points, mainly due to mix and also higher costs related to ongoing improvements in Cardiac Assist and in Cardiopulmonary. The margin was also impacted by negative currency effect, higher costs for input goods, and for personnel. This was offset by price increases, strong sales, mainly in consumables in Cardiac Assist and continuing productivity enhancements. For Life Science, the adjusted gross margin declined by 4.5 percentage points as a result of a negative product mix and higher costs for input goods, personnel, and also currency effects. Price increases in Life Science contributed positively to the margin. Surgical Workflows' adjusted gross margin increased by 0.9 percentage points, and this was primarily result of price increases and higher sales volumes. This was offset by higher costs for input goods and personnel and also here negative currency effects. So with that, we can move over to page number 12 and I leave over to you, Lars.
Lars Sandstrom: All right. Thank you, Mattias. Adjusted EBITA decreased some SEK69 million compared to the same period last year. Adjusted for currency, GP had a minus 0.3 percentage point impact on the EBITA margin due to what Mattias said. Organically, S&A increased by 8% versus previous year. The difference is mainly explained by lower level of variable pay last year, creating a delta of some SEK30 million year-on-year. In addition, we have some SEK25 million of extra costs related to the challenges in Cardiac Assist and Cardiopulmonary. When looking at underlying OpEx, it is negatively impacted by cost inflation and a higher level of activity versus last year. This is, to some extent, mitigated by restructuring efforts. The change in R&D is related to somewhat higher activities, including cost for EU MDR and the minus SEK77 million on other OpEx was mainly attributable to currency effects related to operating receivables and liabilities in foreign currencies. When putting it all together, we end up with a reduction of operational leverage of minus 2.3 percentage points impact on the margin. Adjusted for currency, D&A had a positive impact of some 0.5 percentage points on the margin in the quarter, and FX had a slightly negative impact on the margin in the quarter. All-in-all, this resulted in an adjusted EBITA of SEK1,101 million and a margin of 14.5%. Over to page 13, please. Free cash flow amounted to SEK1.1 billion and was impacted by a higher operating profit, including a net effect of some SEK250 million compensation from insurance related to mesh litigations in the quarter. Looking closer at working capital, the negative change was mainly due to changes in inventories. Now working capital days continue to be well below 100, and we are now at some 96 days, down a bit more than 33 days from the peak in Q2 2018. We continued to be somewhat below trend on operating return on invested capital with 11.3% on a rolling 12-month basis. Let's move to page 14. The change in net debt year-on-year was positively impacted by the operating profit and supports free cash flow, taking us to SEK3.8 billion in net debt at the end of the quarter. If we adjust for pension liabilities, we are at SEK1.5 billion. This brings us to a leverage of 0.7 times EBITDA. If we adjust for pension liabilities, leverage is at 0.3 times EBITDA. Cash amounted to approximately SEK5.3 billion at the end of the quarter. If you then add the acquisitions closed and paid for since the end of the quarter and use pro forma on the debt side on the equation, we end up at SEK8.7 billion in net debt or SEK6.4 billion if we exclude pensions and that is leverage of 1.6 times EBITDA, actual rolling 12 months or 1.2 times if we exclude pensions. Let's move to page 16, and back to you, Mattias.
Mattias Perjos: All right. Thank you, Lars. So just to summarize some of the key takeaways from the quarter, we leave the quarter with a lot of hard work, leading to tangible improvements and a strong net sales. And based on this, we reiterate our guidance for the full year based on order book and the trends that we see. The margins improved versus previous quarter, to a large extent, due to improvements in Cardiac Assist and Cardiopulmonary. We've also completed two important acquisitions and we continue to have a stable free cash flow and a solid financial position with a healthy, safety margin on leverage, which is also the case when we include the acquisitions into the equation, as you just heard Lars talk about. So the current priorities for us are addressing the remaining challenges that we have in Acute Care Therapies, working then on sustainable productivity improvements across the company, and of course, continue to create additional value for our customers. So with that summary, I open up for questions.
Operator: [Operator Instructions] The next question comes from Oliver Reinberg from Kepler Cheuvreux. Please go ahead.
Oliver Reinberg: Hi. Thanks very much for taking my questions, and three, if I may. Mattias, you talked about, obviously, that the balloon sales have contributed to the performance in the third quarter, but I guess there has also been a certain catch-up effect. But can you just give us any kind of flavor to what extent balloon sales then exceeded the pace that you find in a normal quarter? And also can you specify, when you talked about growth year-on-year, was this related to Q3 or the nine-months period? That would be question number one. And question number two, just on products, and you obviously have received this kind of covered stent approval. So can you just provide an update what do you see there in terms of demand trends? And also, with regard to the approval of a non-invasive ventilator in the US, can you just talk to the potential you see here during the market space when the kind of key competitor faces a challenge? And then the third question just on China. Can you just talk about what kind of impact you see from the anticorruption campaigns? And also can you give us any kind of flavor what kind of sales decline you have seen for China in the nine-month period? Thanks very much.
Mattias Perjos: Okay. Okay. Thanks, Oliver. I'll start from the end and I missed some of the bits and pieces in the middle, but we'll come back to that. So if we start with China, when it comes to the anti-corruption campaign, I think we don't see any major impact in terms of number short term on this. We do see that it's a little bit more difficult for our commercial people to get meetings with customers and so on, but that's really the only impact right now that we see. On China overall, I'd say as well, as I also mentioned in the presentation, is a weaker quarter. We do see that bioprocessing investments, for example, are on a very low level right now. We're hoping that it's kind of bottoming out now, but that remains to be seen going forward. We can see some more impact also from the buy local initiatives, especially on Surgical Workflows versus on Acute Care Therapies. I mean, there is -- it's a less problematic situation because of the competitive position that we have with some more products there. So that's kind of the overview on China. Then when it came to the ventilators, I didn't quite hear your question. So if you could repeat that, please, would be helpful.
Oliver Reinberg: Sure. Was just on this kind of product approval. You obviously got a kind of FDA approval for non-invasive ventilator. So the question was just that what kind of potential do you see here from the issues that are faced in the industry.
Mattias Perjos: Yeah. We see really strong potential with this addition to the portfolio. We haven't quantified that in numbers, though we would like to get it properly launched and see what traction we get, but believe this is a significant addition to the portfolio and our offering in the US for Critical Care inside ACT. And then the first question was related to balloon sales, and I think we haven't quantified any kind of additional boost from this. I mean, there is a slightly higher sales than normal when it comes to balloons, given that the weakness that we had in Q2 and our inability to deliver, but it's not something that we've quantified in terms of numbers or backlog or anything like that. So we prefer to keep those numbers to ourselves.
Oliver Reinberg: Okay, understood. And just in China, can you just provide any kind of flavor as Chinese sales in the first nine months declined by more than 20%?
Mattias Perjos: Yeah. No, we don't break this down on individual geographic markets. We stay with the numbers that we disclose on a regional level.
Oliver Reinberg: Understood. And then the last question was on the covered stent. Any kind of update what you see here in terms of demand?
Mattias Perjos: No, it's a little bit too early to say. I think we're just in the launch phase here. Everything kind of prepared from a packaging and production standpoint, but it's a little bit too early to talk about the demand for this. I'd rather come back towards the end of the year or beginning of next year when we see the traction and momentum that we get.
Oliver Reinberg: Fair enough. I'll hop back in the queue. Thanks very much.
Mattias Perjos: Thank you.
Operator: The next question comes from Erik Cassel from Danske Bank. Please go ahead.
Erik Cassel: Hi. Good morning, all. So another question on the balloon pump consumables. I mean, I heard that you won't quantify anything, but would you say that the restocking at customers were finalized during Q3 or do you see that continuing into Q4? And then also if there could be any sort of pull-forward effects that you're seeing from customers, maybe increasing safety stocks above normal levels? That's the first one.
Mattias Perjos: Yeah. We don't really have a big, I think, stocking effect when it comes to the balloons. There has been more on the BetaBags side in Life Science. I'm not aware of any quantifiable stocking or destocking effect on the balloons. It's -- the most situation is that we've had a big backlog of deliveries of balloons to deliver to customers and we were able in the third quarter to deliver a little bit ahead of the plans that we had. So that's the situation.
Erik Cassel: All right. And then on the outlook of hardware sales in Cardiac Assist, when do you think you're able to sort of get the backlogs down to normal lead times again?
Mattias Perjos: I think we are gradually making steps in the right direction there as well. We had agreed with the FDA that we would prioritize service orders to make sure that the installed base is up and running properly. So the components that we have got, when it comes to the ones that we've had quality and supply chain challenge, they mostly gone to service and the installed base in the quarter. We have agreement now to start also delivering new pumps. So we'll be able to gradually work this down now during the fourth quarter, but it will take some -- a quarter or two into next year as well before we have kind of a normalized situation. That's the current prediction at least when it comes to the hardware side of Cardiac Assist.
Erik Cassel: Okay, perfect. Last question from my end. In ECMO, what has happened in terms of scrap rate and delivery capacity there? I'm still hearing anecdotally of still increasing shortages in the US even for the HLS and PLS. Is this what you're seeing as well?
Mattias Perjos: Yeah. It's improved for sure compared to earlier. We have less scrapping in this quarter than we've had before. We are also a little bit less constrained when it comes to the production capacity, but I think as we mentioned earlier during this year, we've had some hurdles when it comes to increasing production based on resolving the packaging challenge that we're working through right now. But again, not possible to quantify this, but I think from a trend perspective, it's slowly but surely heading in the right direction.
Erik Cassel: Okay, perfect. I'll jump back in queue. Thank you.
Mattias Perjos: Thank you.
Operator: The next question comes from Mattias Vadsten from SEB. Please go ahead.
Mattias Vadsten: Hi. Thanks for taking my questions. First one on the quality issues within Cardiac Assist and Cardiopulmonary. Just if you could share some few words, if you're proceeding according to plan or maybe slightly ahead of plan when it comes to field corrections and new packaging solutions within ECMO and then perhaps just a few words on the magnitude of costs connected to this you carry today, and yeah, sort of when we should expect this to fall off. That's the first one.
Mattias Perjos: Yeah. When it comes to the improvement initiatives ongoing, I'd say that it's been in line with or slightly above what we had planned for the quarter. When it comes to Cardiac Assist, like we mentioned, it's slightly higher deliveries of balloons. It's also good that we have agreement now that we can start shipping a little bit more hardware here gradually during the fourth quarter and onwards. So in line with or slightly more positive than we had expected a quarter ago. When it comes to Cardiopulmonary, we are also working intensively with the different packaging solutions. It's kind of digital. Either they work or they don't here. So we're not at the point where we can say now that we have an approved and working solution yet, but I think again, from an activity standpoint, there's been a lot of work going into this. We feel comfortable that one of the alternatives that we are working on will function properly. I just can't give you any indication of timing today on this.
Mattias Vadsten: So magnitude of the cost you carry connected to this sort of improvements?
Mattias Perjos: Nothing. Well, it is significant. I think Lars mentioned some of the cost here when we talk about the SEK25 million related to challenges in Cardiac Assist and cardiopulmonary. This is SEK25 million, which is mainly related to additional people and external resources that we need to work through the challenges. There's, of course, impact, cost impacts when it comes to productivity overall and so on, but these are the only costs that we quantify and communicate externally.
Mattias Vadsten: Perfect. Thank you. Next one. I mean orders seems to be solid in Surgical Workflows and the legacy part of Life Science. This suggests the investment appetite from hospitals seems to be overall okay at least compared to last year. So any color on outlook for hospital CapEx or activity among customers going forward would be very helpful.
Mattias Perjos: Yeah, I think you summarized it yourself to some extent there. I think the momentum continues to be quite positive. If you look at service of hospitals, it looks like from a CapEx perspective, it's also, I mean, flat to slightly positive. It doesn't seem like anyone is planning for any significant reductions or anything like that. And when you -- when we talk about Life Science, you're absolutely right that the legacy business, so our washer sterilizers and sterilizers primarily doing really well at the moment here. So the headwind in Life Science is more from smaller companies and from the bioprocessing segment.
Mattias Vadsten: Perfect. And then the last one, a quick one on price increases, what you expect for the full year 2023? And if you can share any thoughts around what you plan for in the budget for 2024? That's the last one.
Mattias Perjos: Yeah. I can share that we expect to land around 3% overall price increase for 2023. When it comes to 2024, I will come back to that once we've closed out this year.
Mattias Vadsten: Thank you very much.
Mattias Perjos: Thank you.
Operator: The next question comes from Anchal Verma from JPMorgan. Please go ahead.
Anchal Verma: Hi. Good morning. This is Anchal Verma from JPMorgan. I had two questions, please. First one, given your year-to-date sales growth is 5%, why would you not narrow the full-year guidance to top end of the range? Because if we just do the calculation 2%, the bottom end of the range would actually imply a contraction in Q4. How likely is that? And then question two would just be, given that you have some preliminary insight into the rest of the year, what are you seeing in terms of order developments across the businesses, especially within Life Sciences? Do you expect the orders kind of to remain flat or slightly improve? Any more color on the order dynamics for the rest of the year would be helpful.
Mattias Perjos: Yeah, yeah. Thanks. I'm not sure I can provide a lot more color on this. I mean, you gave mathematically you pointed it out yourself. When it comes to sales given the growth we've had in the first three quarters, that I think implies then a more flattish fourth quarter. We've decided not to attach any probability to one part or the other of the range or the span here. So we remain with the 2% to 5% guidance for the full year. There are still a lot of moving parts, as you've seen, both in our two sub-areas in Acute Care Therapies and also in Life Science, while Surgical Workflows is certainly much more predictable, I'd say both towards the end of this year and into next year as well. Order development on Life Science, we don't guide forward on order intake, but I think the overall dynamics are that the larger pharma companies seem to be investing quite well. The US market, we feel pretty good about as well. We've had some pretty good progress when it comes to EMEA as well and in Asia and particularly in China, it is more challenging overall for Life Science and particularly related to bioprocessing. So that's the color I can give on the order perspective.
Anchal Verma: That's helpful. Thank you.
Mattias Perjos: Thank you.
Operator: Please state your name and company. Please go ahead.
Aisyah Noor: Hi. Thanks for taking the questions. My name is Aisyah Noor dialing in for Rob Davies from Morgan Stanley. My first question was a follow-up on China, where you mentioned before the kind of magnitude of the weakness. From a product perspective, could you give some color as to whether the weakness was more on equipment orders or also on consumable sales and whether there was a slowdown in elective procedures that could have driven that weakness? And then a follow-up on that would be the broader topic around the buy local initiatives that you talked about. That sounds more like a longer-term headwind for you. Is that changing how you're thinking about your manufacturing exposure for that business in China? Just some thoughts there would be helpful. The second question was a follow-up on the prior question around 2024. Given that your nine-month order trend this year is slightly negative following a year in 2022 where orders were also negative, and it sounds like you expect some of the pullback in Cardiac Assist to recover. So I guess the question is what gives you the confidence in coming in the range of the 4% to 6% organic growth, sorry, for 2024?
Mattias Perjos: Yeah, okay. When it comes to China first, I will start with the buy local bit. We do see this gradually being more rolled out and reinforced. For us, it mainly has an impact on Surgical Workflows, even if there may be some impact going forward on other categories as well, but the main headwind is for Surgical Workflows. We'd been aware of this and it's something we've expected for quite a while. So we have adapted our strategy as well to this and we have manufacturing presence in China since about 20 years now. So we're gradually moving from the products that make sense there and make them in China for the Chinese market to mitigate this. So that's really the main approach that we're using to mitigate the impact. When it comes to China overall, if I were to talk about Life Science, it is a rather widespread weakness, I think, when it comes to investments, but it's particularly noticeable when it comes to bioprocessing. So I can't break it down at any further than that for you. And as you pointed out, when it comes to the order development the last quarter and also end of last year, I think we will need to see a momentum change to be more comfortable with the 4% to 6% growth for next year. And that's also why we refrain from giving any further guidance right now. We need to work through the challenges in Cardiac Assist and Cardiopulmonary. We need to see the destocking of DPTE-BetaBags kind of bottom out and start moving in the right direction as well and we need to see investments start to pick up also in bioprocessing broadly and China specifically. When it comes to your question on procedure volumes, I don't have any particular data on that that I can share on this call.
Aisyah Noor: That's great. Thank you so much.
Mattias Perjos: Thank you.
Operator: The next question comes from Kristofer Liljeberg from Carnegie. Please go ahead.
Kristofer Liljeberg: Yeah. Thank you. It's Kristofer from Carnegie. Three questions for me. First, coming back to the full-year sales guidance, and if I heard you correctly, you alluded to a little bit of flattish development in Q4. And if that is the case, I'm wondering what's behind the weakening trend then versus what you have seen with almost 5% growth in the first nine months. That's my first question. Then maybe if you could explain about this positive trend shift we have seen for Life Science orders. You talked about the legacy business, but I think that has also seen some weakness earlier in the year, if I remember correctly. So it seems something positive is happening here maybe, you could comment on that. And finally, on the Surgical Workflow margin, that continues to be weak despite good volume development. So I wonder really what you could do to improve margins there and the possibility to do any more significant price increases to compensate for inflation. Thank you.
Mattias Perjos: Yeah. All right. Thanks. When it comes to the guidance bit, you've seen the order intake yourself, the evolution. I think at some point this does impact sales as well. So we're just being mindful of not being too optimistic towards the end of the year here. We think there are still quite a lot of moving parts and we do need to see the order pattern change a bit like I mentioned in the answer to the previous question here. So there's nothing else, no other color I can give in that. When it comes to the Life Science trend shift, it's very much related to sterilizer type of projects, and it's mostly then Western Europe and the US that we see this. Whether it's really a trend shift or not maybe a little bit too early to say, but the momentum has at least been positive lately. When it comes to Surgical Workflows margin, there we need to work now to reinstall the operational leverage that we had created going into the -- into and also out of the pandemic. Actually, if you look at the inflationary pressure that we've had now, first on materials, on logistics, and now more when it comes to salary inflation, we have both direct salary inflation impacting us, but there's also an indirect component in this in the components and products that we buy from suppliers. So this is the main reason. So we basically need to rework some of the initiatives that we've had ongoing when it comes to our supply chain, and this is factory productivity related. It is purchasing related, it is related to logistics and warehousing, it's related to our quality value engineering initiatives that we've had successfully implemented for a number of years. So it's a bit of a restart and re-ignition of these types of initiatives that will gradually, I think, restore the operational leverage that we've had in surgical workflows. There is also, I think, a mix shift ongoing as well and this will be reinforced also by the acquisition of Healthmark. So these are the main kind of levers for margin improvement in Surgical Workflows.
Lars Sandstrom: I think we can also mention there in the pricing that you asked for, Kristofer, on the SW part, we have seen a gradual improvement when it comes to price during the quarters here and that positive trend has also continued here in Q3.
Kristofer Liljeberg: How would you see the possibility as to get back to double digit margins in that business next year before, I guess, the positive effect from the acquisition?
Lars Sandstrom: I think we are in that trend and there is no magic to this. It's a lot of hard work. And I think what Mattias mentioned there, these kind of activities when addressing the cost base as such that is not -- that takes a bit of time to work through to get the full impact of those activities. So this will -- it's a gradual focus on that.
Kristofer Liljeberg: Okay. Thank you.
Mattias Perjos: Yeah. And I think when it comes to -- yeah. Thank you for that. Thanks.
Operator: The next question comes from Rickard Anderkrans from Handelsbanken. Please go ahead.
Rickard Anderkrans: All right. Good morning and thank you for taking my question. So you highlighted sequential improvement in margins here in Q3. Should we expect that trend to continue into Q4? Or can you help us figure out how we should think about this sort of margin evolution into next quarter?
Mattias Perjos: Yeah. We don't guide forward on margins, and as you're probably aware, there are quite a few moving parts here. So we're highly dependent on the continued deliveries there, and deliveries of consumables for Cardiac Assist. Life Science, as you know as well, is also very sensitive to mix. So depending on the bottoming out of the destocking of BetaBags, it's also important factor when it comes to margin, general leverage as well. Pricing traction is one of the things I think we have getting better visibility on. So the 3% that I mentioned before is something that we kind of factored into -- to our plans here, but having said all that, we don't give a specific guidance when it comes to margins.
Rickard Anderkrans: All right. Fair enough. But I was just thinking also on the Acute Care Therapies. You called out that the order bookings for the business area was just above 10% higher than last year in the quarter. Should we interpret this that there is still some sort of back order and delivery on the balloons or is that the balloon pumps or can you add any more commentary around that sort of call out in the report?
Mattias Perjos: Yeah. The backlog is made up of both hardware and consumables in both Cardiac Assist and Cardiopulmonary.
Rickard Anderkrans: Fair enough and a final question if I could. So there's been some discussions in the market around an FDA warning letter and some quality issues regarding the Impella pump. Do you internally think that this is a tailwind potential? If so, what type of magnitude? It would be interesting if you could comment on that development and what's your thinking regarding it?
Mattias Perjos: Yeah. I prefer not to comment on the impact of competitors' quality issues here. So I refrain from making any statements here.
Rickard Anderkrans: All right. Fair enough. Thank you for taking my questions.
Operator: [Operator Instructions] There are no more questions at this time. So I hand the conference back to the speakers for any closing comments.
Mattias Perjos: Great. Thank you. It's good that we were able to exhaust all the questions in the call. So thanks everyone for taking the time to be with us this morning and look forward to now the last quarter of 2024. Thank you very much.